Operator: Good morning, and welcome to Washington Trust Bancorp, Incorporated's Conference Call. My name is Bailey, and I will be your operator for today. [Operator Instructions] Today's call is being recorded. And now I will turn the call over to Elizabeth B. Eckel, Senior Vice President, Chief Marketing and Corporate Communications Officer. Ms. Eckel, please go ahead.
Elizabeth B. Eckel: Thank you, Bailey. Good morning, and welcome to Washington Trust Bancorp, Inc.'s 2022 first quarter conference call. Joining us for today's call are members of Washington Trust's executive team, Ned Handy, Chairman and Chief Executive Officer; Mark Gim, President and Chief Operating Officer; Ron Ohsberg, Senior Executive Vice President, Chief Financial Officer and Treasurer; and Bill Ray, Senior Executive Vice President and Chief Risk Officer. Today's presentation may contain forward-looking statements, and actual results could differ materially from what is discussed on today's call. Our complete Safe Harbor statement is contained in our earnings press release, which was issued earlier this morning and other documents that are filed with the SEC. These materials and other public filings are available on our Investor Relations website at ir.washtrust.com. Washington Trust trades on NASDAQ under the symbol WASH. I’m now pleased to introduce today's host Washington Trust's Chairman and CEO, Ned Handy.
Ned Handy: Thank you, Beth. Good morning, all, and thank you for joining our first quarter call. We are grateful for your time and continued interest in Washington Trust. This morning, I will provide an overview of our first quarter highlights, and then Ron Ohsberg will review our financial performance. After our remarks, Mark Gim and Bill Ray will join us and will answer any questions you may have about the quarter. I’m pleased to report that Washington Trust posted solid first quarter results with net income of $16.5 million or $0.94 per diluted share compared with $20.2 million or $1.15 per diluted share in the prior quarter. In the quarter, strength in core margin and our wealth business helped to offset reduction in mortgage revenues. Continued expense management assisted in the sound results, and Ron will provide detail in his comments. I’m very proud of the way our teams have navigated through the pandemic, keeping customers at the forefront while positioning the pillars of our business model, margin, wealth and mortgage for relative strength as the Fed begins to implement anti-inflation measures. Our asset-sensitive positioning will drive continued margin improvement and our investments in technology and process improvement in all of our business units will optimize productivity in what will be a challenging operating environment. In the quarter, we hit a record high in wealth management revenues, although assets under management declined at quarter end due to market volatility. Net new customer flows were strong in the quarter. Our rebranding in wealth to the unified Washington Trust Wealth Management brand is helping to build awareness in Connecticut and Massachusetts and promises to deliver a simplified comprehensive offering across our footprint. We’ve invested in continuous improvement in our financial planning capabilities, reflecting our deep long-term care for our customers and their families. Our efforts have been well received by clients, prospects and centers of influence. Total end market deposits hit a high of $4.7 billion at quarter end and enabled us to continue reducing wholesale funding. Given our strong brand positioning, we continue to explore branching opportunities in Rhode Island. Construction of our new branch in Cumberland, Rhode Island is progressing, and we expect an opening in late summer. First quarter mortgage revenues and volume were down as expected, but both weekly applications and pipeline remain above pre-pandemic levels. We are built to service a purchase-oriented market and the New England markets we serve remain relatively strong. Total loans, excluding PPP loans, were up 1% in the quarter and 8% year-over-year. Our commercial lending business was impacted by early payoffs as customers continue to take advantage of high valuations and the seller's market. Commercial loans, net of PPP, declined by $12 million in the quarter as new originations and advances of $110 million were more than offset by payoffs and paydowns of $122 million. The commercial pipeline remains strong entering second quarter 2022. Robust growth in residential mortgage loans helped to offset the commercial decline. Once again, this quarter, we are well served by the diversity of our business lines and revenue sources. Credit has remained very strong, and Ron will provide some detail on both our credit statistics and some comments on our provisioning and reserve positioning. We’ve maintained a conservative posture on credit risk, which has served us well through the pandemic and prior cycles. We feel confident about how Washington Trust and our customers have managed through the pandemic. And while there have been some positive signs of economic growth, we recognize there are many variables at play locally and globally. We are planning for and continuously analyze the potential impact of several interest rate adjustments in the near-term. We remain cautiously optimistic about the underlying economic fundamentals of low unemployment, strong corporate earnings and Buoy's consumer strength. We believe that active engagement with the fintech ecosystem is an important method of understanding the competitive landscape. We are continuously updating our products, improving our processes and working with our core providers and other fintech partners to ensure we are providing the best experiences and solutions for our customers and our employees. We issued our inaugural ESG report in the quarter highlighting our long-held belief that we are well-positioned to help our entire communities find opportunity for success and to be a positive contributor to environmental health and to operate with the highest level of integrity, security and ethics. We are proud of our 221-year heritage and have our deep awareness of today's important opportunities and obligations. We launched a new multiyear financial literacy initiative in the quarter, designed to provide individuals, families, businesses and nonprofit organizations with the money management tools and resources they need to achieve economic empowerment. We’ve committed multiyear funding to support literacy programs at three local nonprofits and introduced a free web-based financial literacy program for local schools and community groups. We also added a new financial wellness center on the company's website. I want to once again thank our employees for their strength of character and their consistent care and concern for each other and our customers. With that, I will turn the call over to Ron for comments on the first quarter financial results. Ron?
Ron Ohsberg: Great. Thank you, Ned. Good morning, everyone and thank you for joining us on our call today. As Ned mentioned, net income was $16.5 million or $0.94 per diluted share for the first quarter. This compared to $20.2 million or $1.15 per diluted share for the fourth quarter. Net interest income amounted to $35.1 million, down by $2.6 million or 7% from the preceding quarter. Net interest margin was 2.57%, down by 14 basis points. Net interest income continued to benefit from PPP forgiveness fee income, which totaled $819,000 and had a 6 basis point benefit to the margin. This compared to $1.2 million and 9 basis points in the fourth quarter. Additionally, there was $2.2 million of commercial loan prepayment fee income in the fourth quarter, which had a 16 basis point benefit to the margin. There was a $76,000 prepayment fee in the current quarter, which had a 0 basis point impact. Excluding both of these items, the margin increased by 5 basis points from 2.46% to 2.51%. Average earning assets increased by $7 million. The yield on earning assets was 2.83% for the first quarter, down by 14 basis points. On a core basis, it was 2.76%, up by 4 basis points from 2.72% in Q4. On the funding side, average in-market deposits rose by $216 million, while wholesale funding sources decreased by $176 million, and the rate on interest-bearing liabilities declined by 1 basis point to 0.33%. Noninterest income comprised 33% of total revenues in the first quarter and amounted to $17.2 million down by $3.1 million or 16%. Wealth management revenues were $10.5 million, up by $27,000. This included an increase in transaction-based revenues of $233,000 reflecting seasonal tax reporting and preparation fees that are concentrated in the first half of the year. This was partially offset by a decrease in asset-based revenues, which were down by $206,000 or 2%. The decrease in asset-based revenues correlated with a decrease in the average balance of assets under administration, which were down by $83 million or 1%. March 31 end of period, assets under administration totaled $7.5 billion down by $291 million or 4% from December 31, largely due to market depreciation. New business activity in the first quarter was strong as net client asset flows -- inflows totaled $97 million. Our mortgage banking revenues totaled $3.5 million in the first quarter, down by $831,000 or 19%. Realized gains on sales of loans were $3.3 million down by $2.4 million or 42% from the preceding quarter, reflecting lower sales volume and a lower sales yield. Mortgage loans sold totaled $130 million in the first quarter, down by $67 million or 34%. Market competition has also been compressing the sales yield as expected. The decline in realized gains was partially offset by changes in fair value on mortgage loans held for sale and forward loan commitments. Mortgage loan originations amounted to $271 million in the first quarter, down by $92 million or 25%. Our mortgage origination pipeline at March 31 was $210 million, up by $16 million or 8% from $194 million at the end of December. And as of last week, the pipeline was over $240 million. Loan related derivative income was $301,000, down by $1.7 million from the preceding quarter, reflecting lower commercial swap volume and income from bank-owned life insurance totaled $601,000, down by $543,000 from the preceding quarter due to the recognition of $526,000 of life insurance proceeds in the fourth quarter. Regarding noninterest expenses, these were down by $4 million or 11% from the fourth quarter. In the fourth quarter of 2021, debt prepayment penalties of $2.7 million were incurred to pay off higher cost FHLB advances. No such debt repayment expense was incurred in the first quarter of 2022. Excluding the impact of these penalties, noninterest expense was down by $1.3 million or 4% from the fourth quarter. Salaries and employee benefits expense decreased by $522,000 or 2% in the first quarter, reflecting volume-related decreases in mortgage originator compensation expense and lower performance-based compensation accruals. These were partially offset by higher payroll taxes associated with the start of the new calendar year. Outsourced services expense was down $343,000 from the preceding quarter, largely reflecting lower swap volume. Income tax expense totaled $4.4 million for the first quarter. The effective tax rate was 21.3%. We expect our full year 2022 effective tax rate to be approximately 21.5%. Now turning to the balance sheet. Total loans were up by $11 million from December 31 and up by $89 million or 2% from a year ago. Excluding PPP, loans increased 0.9% versus Q4 and 7.7% compared to Q1 2021. In the first quarter, total commercial loans decreased by $37 million or 2%, which included a net reduction in PPP loans of $25 million. Excluding PPP, commercial loans decreased by $12 million or 1% from December 31. Within this category, CRE loans decreased by $11 million. Payoffs and paydowns of $100 million were partially offset by new loan originations and advances of $89 million. C&I loans, excluding PPP, decreased by $1 million as payoffs and paydowns of $22 million were essentially offset by new volume in the quarter. Residential loans increased by $51 million or 3% and by $320 million or 22% year-over-year. Investment securities were down by $35 million or 3% from December 31, reflecting a temporary decline in fair value and routine paydowns on mortgage-backed securities, partially offset by purchases. End market deposits were up by $261 million or 6% from December 31, concentrated and money market accounts and were up by $713 million or 18% from a year ago. Wholesale brokered CDs -- wholesale brokered CDs were down by $113 million in the first quarter. FHLB borrowings were down by $90 million from December 31 as lower levels of wholesale funding were needed given the end market deposits increase. Total shareholders' equity amounted to $513 million at March 31, down by $52 million from the end of Q4. The decline reflected a decrease of $60 million in accumulated other comprehensive income largely due to a temporary decrease in the fair value of available-for-sale securities. Washington Trust remains well capitalized. Our first quarter dividend declaration of $0.54 per share was paid on April 8. Now regarding asset quality. Nonperforming assets declined by $1.6 million in the first quarter. Non-accruing loans were 0.29% of total loans compared to 0.33% at the end of Q4. Past due loans were 0.16% of total loans compared to 0.24%. As of March 31, there were no code deferrals. The allowance for credit losses on loans totaled $39.2 million or 0.92% of total loans and provided NPL coverage of 312%. This compares to $39.1 million or 0.91% in Q4. The first quarter provision for credit losses was a positive $100,000. There was a $2.8 million negative provision recognized in the preceding quarter. The first quarter provision related to an increase in the reserve behind funded commitments. There was no provision for loans recognized in the first quarter, reflecting continued low loss rates, strong asset and credit quality metrics as well as our current estimate of forecasted economic conditions. Net recoveries were $148,000 in Q1 compared to net recoveries of $27,000 in Q4. This concludes my prepared remarks. And at this time, I will turn the call back to Ned.
Ned Handy: Thanks, Ron. The road ahead is going to be challenging, and we appreciate you taking the time to listen to our story and understand our positioning. We had a good quarter. Our balance sheet, capital position and credit quality remains strong, and we believe our diversified business model positions us well in a rising rate environment. So, with that, we will open it up to questions.
Operator: [Operator Instructions] Our first question today comes from Mark Fitzgibbon from Piper Sandler. Mark, please go ahead. Your line is now open.
Mark Fitzgibbon: Hey, guys. Good morning.
Ned Handy: Good morning, Mark.
Ron Ohsberg: Hey, Mark.
Mark Fitzgibbon: Ron, just to clarify one of the comments you made, did you say the commercial loan pipeline was $240 million?
Ron Ohsberg: No, the residential pipeline.
Mark Fitzgibbon: I thought you had said the residential pipeline was $210 million.
Ron Ohsberg: As of March 31, and as of last year …
Mark Fitzgibbon: Got you.
Ron Ohsberg: … it's up to $240 million.
Mark Fitzgibbon: Got you.
Ned Handy: Mark, I will just tell you the commercial pipe is at about $270 million.
Mark Fitzgibbon: $270 million. Okay, great. That's up like $100 million from last quarter, right?
Ned Handy: Yes. Things are very strong right now in terms of inflow of opportunities.
Mark Fitzgibbon: Okay. Secondly, assuming the Fed rate hikes follow what the forward curve is suggesting, what do you think the core net interest margin can get up to by the end of this year, Ron?
Ron Ohsberg: Yes, wasn't going to go out that far, but just hypothetically, we think that the kind of the recurring margin could be too high, 270s by the end of the -- by the fourth quarter, for the fourth quarter. And Mark, that’s totally dependent on what actually happens, right? So, understanding that's a big assumption.
Mark Fitzgibbon: Okay. And then also, I was curious, the securities book is about 17% of the balance sheet today. Where would you like that to be over time? Is it likely to get a lot smaller as loan growth picks up?
Ron Ohsberg: I think it's probably a little bit on the light side of where we normally are. We -- I think we are usually between 17% and 20%, Mark. We are not looking necessarily to take that down. We look at it quarter-by-quarter. And if we have excess capital to deploy, sometimes we will just top up the investment portfolio.
Mark Gim: Yes. And Mark, this is Mark Gim. I think part of that depends on the strength of total loan outstanding growth. Credit formation has been strong. As Ned mentioned, the net growth is what's important to us. And interest rates have risen to the point that securities purchases, if funded by low-cost deposits are relatively more attractive source of earnings than they were before the yield curve flattened to the levels where it is today. So, if we could fund loan growth with deposits and liquidity is not excessive, then securities balances probably would not grow. We have the opportunity to continue growing deposits and loan growth is not a strong securities purchases are a way of providing net interest income at reasonable spreads going into 2023, more so than it has been for the last couple of years.
Mark Fitzgibbon: Okay. And then lastly, just a couple of questions around the Wealth Management business. You had really good client flows this quarter, I think, 97 million. I guess I was curious where that’s coming from? Any particular type of client? Is it new or existing clients? And what would you guess the average size of the new relationships that you're bringing in look like? Thank you.
Mark Gim: So, Mark, this is Mark again. A large portion of those inflows in the first quarter were driven by a significant relationship that was brought in by a combination of the private client group, proceeds from a business sale, along with the Wealth Management division as well. Those kinds of opportunities don’t come along all the time, we are happy to be able to take advantage of our service levels to be able to accommodate what we can. More typically, our relationships are between the $2 million and $10 million range as they come in. But one of the advantages of having a better linkage between the balance sheet side of the bank and the wealth side is that, for example, business succession planning opportunities or a business sale if we are banking a commercial customer, we are now able to be in a position to take advantage of that when the liquidity event occurs. And that pipeline may be a long time, multiple years, but if we service the client effectively on the credit side, we are naturally in a good position to be able to offer our wealth services as well.
Mark Fitzgibbon: Thank you.
Ned Handy: Okay. And Mark, just to supplement on your question on margin, I also just want to put out here that we are expecting the second quarter margin on a core basis to be more like the mid-250s. So obviously more confident in that guidance and then further out.
Operator: Thank you, Mark. The next question today comes from Erik Zwick from Boenning & Scattergood. Erik, please go ahead. Your line is now open.
Erik Zwick: Good morning, everyone.
Ned Handy: Good morning, Erik.
Ron Ohsberg: Hi, Erik.
Erik Zwick: Wanted to first follow-up with kind of the margin discussion there. Ron, within those kind of expectations that you’ve provided, can you remind us what you're assuming for deposit betas over the next few quarters?
Ron Ohsberg: Yes. So, we still have -- we think that deposit betas this time around will be somewhat less than what they were during the RAS [ph] rate increase cycle. We have brought our wholesale funding levels down quite a bit, but we still have, I think, higher wholesale funding levels than our peers. So that’s obviously variable. Some of the deposit growth that we brought in this quarter is variable. But we have about $2 billion of loans that will reprice in 12 months, a $1.7 billion of that will reprice in the first month and about $400 million of liabilities we will reprice in 1 month and about $1 billion over the course of 12 months. So, we still have quite a bit of asset sensitivity baked in there. Our core RAC [ph] rates probably won't move that much, but we do have some variable funding in there that will move up. But we -- at the net beneficiaries of rate increases.
Erik Zwick: Thanks for the color there. And then thinking about the commercial loans and I appreciate the commentary on the pipeline being up quarter-over-quarter. Curious where your line utilization rates stand today relative to kind of what you consider normal from a historical perspective? And if you are starting to see any upticks there, it seems like that could potentially be a headwind to net growth going forward as well. So, kind of curious what you're seeing there.
Ned Handy: Yes, Erik, it's Ned. First of all, we don’t have a ton of lines in the commercial book, but we have not seen much move in utilization yet. I think the biggest variables for us are real estate closings and fundings on the one side, a fair amount of construction. And in fact, in the first quarter, we -- we have, in addition to the funded loans that we talked about earlier, we closed another $27 million of construction loans in the quarter that just haven't funded. So, there's future funding there. I will tell you, through the first half of April, we closed $55 million in loans, not all funded. But I think that pace suggests that the pipeline is converting fairly well. So, I feel optimistic about Q2 loan growth. And of course, the other big variables payoffs. And we think that as rates increase, payoffs will, at some point, start to slow down. We did not see that in the first quarter. We scheduled payoffs as much as we can and feel like it will be somewhat reduced in the second quarter, but that's a tough one to peg. And people are still selling at low cap rates and taking advantage of the opportunity to do so. So that will be a variable that we just have to keep our finger.
Erik Zwick: And then transitioning over to the mortgage, kind of residential mortgage loan pipeline, I think you said those balances were up quarter-over-quarter. And just curious kind of maybe what drove that increase? Is it starting to move into kind of the beginning of the prime home selling season or anything else, just given kind of market dynamics, it seems like those continue to come down, but curious what you guys are seeing?
Ron Ohsberg: Yes. So, I think there is some seasonality built in there, Erik. So, our pipeline, as I mentioned, is higher at the end of the quarter versus last quarter and then even into April, it's continuing to increase. In terms of our kind of our mortgage expectations, I can't really go out further than the second quarter, but we would expect Q2 to be somewhat better than Q1, just on the basis of that pipeline. A lot of competition out there. The purchase market where we are is very strong, that there's a lot of demand probably constrained somewhat by supply, but the market is still very, very hot in terms of customer demand.
MarkGim: Yes. And Erik, this is Mark. The purchase market is traditionally seasonal, but the strength in Q1 is, we think, really reflective of just the demand and lack of inventory in New England. Our Head of Mortgage said to me the other day that it felt like the spring market started in the second month of January, which is a little early as far as purchase activity is concerned. And while we are careful about going out for a far given the bright sensitive outlook at the mortgage business in general, the main catalyst in New England are lack of inventory and interest rate levels notwithstanding demand is really strong across all the markets that we serve. Obviously, higher rates will have some impact on that. And the offset, of course, is that the housing price appreciation that has been so strong over the last couple of years may stabilize and that in conjunction with the inventory shortage ought to keep for the foreseeable future purchase demand strong. Now the purchase market for us tends to be more destined for portfolio than sale. So that should provide a source of balance sheet outstanding growth. And that business for us is a -- as Ned said earlier in his comments, a purchase market serves us well. We don’t only serve the refined market, we can generate high quality, sustainable growth and an attractive well collateralized asset class. So that should go well for loan growth for the foreseeable future.
Erik Zwick: That’s helpful. I appreciate the detailed commentary there. And just one last one for me. I know I think, Ned, you mentioned in the opening commentary, you’ve got a new branch in Cumberland opening late summer. And I know you guys are always kind of on the lookout for new markets and feel there's some opportunity to gain deposits, some long-term kind of core deposit funding that way. Any new branches targeted for the second half of the year or nothing yet at this point?
Ned Handy: Yes. I don’t think anything that would be delivered in 2022, but we’ve got one other site that we are working -- we are in the approval process on. So, if you can tell me exactly how long zoning approval will take, I will give you a very concrete answer, but we are -- so that’s probably first quarter '23. And then we’ve got a couple of other sites we are looking at, but nothing that we’ve signed on to yet.
Erik Zwick: Got it. I understand the challenge of some of those approvals sometimes. So that's great. Thanks for taking my questions today.
Ned Handy: Thanks, Erik.
Operator: Thank you, Erik. The next question today comes from Damon DelMonte from KBW. Damon, please go ahead. Your line is now open.
Damon DelMonte: Hey, good morning, guys. Hope everybody is doing well today.
Ned Handy: Good morning, Damon.
Ron Ohsberg: Hey, Damon.
Damon DelMonte: So, my first question -- good morning. So, my first question is, I wanted to kind of circle back on the loan growth. The strong traction you guys are seeing on the commercial side, indicative of the pipeline activity. Ned, could you give a little color around where in the footprint you are seeing this and kind of what some of these types of loans look like as far as size and industry?
Ned Handy: Yes. I don’t think average size has changed a whole lot. I would say we are kind of in the -- on average in the $5 million to $15 million size. We are seeing some more activity in Connecticut. We’ve made a concerted effort, C&I push and some marketing support in Connecticut, and we are seeing some C&I growth there. That C&I growth is a little bit manufacturing, a little bit distribution, a little bit more in the senior housing, the memory care space. We are seeing activity in the commercial real estate side and more in Connecticut and the Greater Boston marketplace than in Rhode Island itself, but some in North Island as well. Multifamily construction, we are seeing some real activity in the industrial side, very strong opportunities there. We are being for obvious reasons, I think, careful on the office front, careful on the retail front. So I think pretty much down the middle, not taking a lot of speculative risk. So, I think -- does that get it? We are -- we are seeing a lot of construction opportunities, new construction on the multifamily side and conversion construction on the industrial side and renovation.
Damon DelMonte: Yes. That’s great color. Thank you. And then kind of switching over to fee income. Swap gains were down pretty notably quarter-over-quarter. Ron, how do you kind of think about that line item as we go through the rest of this year?
Ron Ohsberg: Yes. I mean it's kind of chunky and hard to predict, but we typically are somewhere in the $3 million to $4 million a year range at the end of the year. So, kind of hard to know exactly what quarter that lands, but that’s where we've been, and that’s kind of what we expect will continue to happen.
Damon DelMonte: Okay, great. That’s helpful. Thanks. And then I guess just lastly on the expense side. Obviously, some variable components with mortgage banking in the swap business. But as you kind of look out over the upcoming quarters, you have a targeted range for expense level that we could kind of consider here?
Ron Ohsberg: Yes. I mean I think the guidance I gave back in January is we are thinking 5-ish that doesn’t necessarily factor in the variable stuff. But yes, we are seeing some expense pressure as I think everyone is, but there's nothing unusual happening within our expense base that we would need to call out to you. And we had the branch coming online later in the year. That’s about it.
Damon DelMonte: So -- I’m sorry, you said about 5% growth then for the year?
Ron Ohsberg: Yes, call it 5%.
Damon DelMonte: 5%, okay. Okay. That’s all that I had. Thanks a lot, guys. Appreciate it.
Ron Ohsberg: Thanks, Damon.
Ned Handy: Okay. Thank you.
Operator: Thank you, Damon. The next question today comes from Laurie Hunsicker from Compass Point. Laurie, Please go ahead. Your line is now open.
Laurie Hunsicker: Yes, hi. Thanks. Good morning.
Ron Ohsberg: Good morning, Laurie.
Laurie Hunsicker: Just going back to Damon's question on expenses, I just want to make sure that I heard this right. So, the 5% base you are using a base for last year of $135.5 million or you -- are there some other adjustments that you're taking into account there?
Ron Ohsberg: No, with no other adjustments.
Laurie Hunsicker: Got it. Okay. And so even though mortgage banking may come down a little bit and there will be expense saves. So, some of that expense growth is obviously related to the new branch that -- sorry, what else are you focused on spending? That's just a little bit of a bigger number?
Ron Ohsberg: It's just kind of across the board with the salaries and supplies and outsourced services expense, just reflecting inflation.
Mark Gim: Yes, Laurie, this is Mark. I think we are seeing signs of wage pressure in pretty much across the board, not only in the banking industry, but elsewhere. And that is reflective in overall higher costs on the salary and wage line item. With regard to the mortgage banking business, accounting creates some weird artifacts where commissions, for example, are expensed when a loan is sold, but deferred labor costs and commissions can be a contra expense if you originate portfolio loans. So, when I think Ron and we think about core expense, some of those components are -- can change over time. So, if your entire portfolio origination is balance sheet driven, the deferred [indiscernible], but we try to think in terms of core expense run rates over time, our dollars for salaries, wages, outsourced services and so forth and that’s what we base that on. But call also that this will be 2022 would be the first full year of operation for the branch that we opened in May of 2021. So relatively speaking, you can know there's one branch opening this year, there's 12 months of expense for the 1 we opened last year versus 7 or so months last year, which is why that growth rate enables higher.
Laurie Hunsicker: Got it. Perfect. That’s helpful. And then just switching over to noninterest income. Appreciate the color, obviously, around mortgage banking and swap. But can you talk a little bit about where you stand on NSF and overdraft fees? Maybe how much was in the quarter, how you're thinking about that in terms of potentially being more consumer-friendly going forward and how that may impact the income?
Ron Ohsberg: Yes. Yes. So, our overdraft NSF is really not that material. It was under $2 million in 2021. So, we are reviewing our policies around that. We are well aware of the regulatory stance with regard to overdrafts. We will do the right thing for our customers, we will likely implement changes that will be directionally consistent with what our peers are doing. So that has not happened yet. You don’t see that reflected in our numbers for the first quarter. That’s something that will be implemented probably over the course of the year, sometime by the end of the year, so.
MarkGim: Yes, Laurie, this is Mark. I think what Ron has said is right on with likely that the second half of 2022 is when we would feel any impact from that roughly $2 million being less than by changes. Probably, those would have effect mostly on the consumer side rather than the business side. So, the whole universe of NSF OD fees isn't necessarily going to change as much. That said, we do think that this source of fees will be under sort of secular long-term pressure and we are glad it's not a very material contribution to our fee income source. We will continue to do the right thing for the customer to make sure that programs we put in place a match client needs in the competitive market. So, 2023 would be the first full year of those changes taking full hold.
Laurie Hunsicker: Got it. Great. That’s helpful. And then just lastly, going back up to net interest income margin. Just on your PPP fees, obviously, you booked $819,000 this quarter. How much is remaining? Is that around $500,000? Or do you have a better figure there?
Ron Ohsberg: Yes, I do. It is $425,000.
Laurie Hunsicker: $425,000. Okay, great. And just to sort of quantify, I was doing some back-end math as you were talking to Mark earlier. It's looking like basically every 25 basis points or so of hike we are getting round numbers 3, 3.5 basis points on margin. Does that sound right? Or did I do my math wrong?
Ron Ohsberg: Yes. Laurie, we kind of looked at it from a dollar standpoint versus a basis point. But we’ve calculated every 25 basis points is about -- and this is an estimate, it's about $1 million of net interest income …
Ned Handy: Annualized.
Ron Ohsberg: … annualized.
Laurie Hunsicker: Annualized, right. That's helpful. Okay, great. And then just lastly on credit as we are starting to see normalized loan loss provisions, your reserves to loans obviously sitting here at 92 basis points. Where is the comfort level there? How should we be thinking about that?
Ron Ohsberg: Yes. So, I mean, listen, we are obviously comfortable with what we just published. But -- so provision is dependent on loan growth, economic outlook and historical loss rates, we expect mid-single-digit loan growth for the year and to remain stable -- our credit to remain stable in the absence of a COVID relapse or some unforeseen economic shock. We are monitoring events in Ukraine and China and the related impact on supply chains as well as inflation in the Fed's policy response and how those might affect asset quality. So, I would also say we are still carrying some COVID-related qualitative reserves and the release of those would serve to offset any incremental reserve requirements. So having said all that, we are comfortable with where we are at the end of March. We are looking for a little bit more clarity on those things that I just discussed. So, for the time being, it's kind of steady as she goes. I think it's -- our asset quality is good, and we feel comfortable with where our reserves are at the moment.
Laurie Hunsicker: Great. Thanks for taking my questions.
Ned Handy: Bill it's -- Bill, I don’t know if you have any other color that you want to provide for Laurie on that or?
William Wray Sr.: I would simply confirm that Ron and I are completely aligned in terms of our outlook on that. 
Ned Handy: Well said. Thanks, Laurie.
Operator: Thank you, Laurie. Next question today is a follow-up question from Damon DelMonte from KBW. Damon, please go ahead.
Damon DelMonte: Hey, thanks for taking my follow-up. I just wanted to clarify the commentary on expenses. So, the 5% growth is off of a base from last year on the reported, which was like $135.5 million or like kind of the operating when you take out the FHLB and some other charges, which was closer to like $128.5 million?
Ron Ohsberg: Yes. Thank you, Damon. Yes, obviously, we had high levels of prepayment expense in 2021, that would come out.
Damon DelMonte: Okay. All right. So, it's off the adjusted level then. Okay, perfect.
Ron Ohsberg: Yes.
Damon DelMonte: Okay. That's all I had. Thank you very much.
Ron Ohsberg: Okay.
Ned Handy: Thanks, Damon.
Operator: Thank you, Damon. There are no additional questions waiting at this time. So I would like to pass the conference over to Ned Handy for closing remarks. Please go ahead.
Ned Handy: Thanks very much, Bailey, and thanks, everyone for joining us. We had a strong quarter. We feel like we are very well-positioned, and we certainly appreciate your time and your interest in Washington Trust. So have a great day, and we will talk soon. Bye all.
Operator: That concludes the Washington Trust Bancorp, Incorporated's conference call. Thank you for your participation. You may now disconnect your line.